Operator: Ladies and gentlemen, thank you for standing by, and welcome to The Andersons 2019 Third Quarter Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to Director of Investor Relations, John Kraus.
John Kraus: Thanks, Andrew. Good morning, everyone, and thank you for joining us for the Andersons third quarter 2019 earnings call. We’ve provided a slide presentation that will enhance today’s discussion. If you’re viewing this presentation via our webcast, the slides and commentary will be in sync. This webcast is being recorded, and the recording and the supporting slides will be made available on the Investors page of our website at andersonsinc.com shortly. Certain information discussed today constitutes forward-looking statements, and actual results could differ materially from those presented in the forward-looking statements as a result of many factors, including general economic conditions, weather, competitive conditions, conditions in the company’s industries, both in the United States and internationally, and additional factors that are described in the company’s publicly filed documents, including 1934 Act filings and the prospectuses prepared in connection with the company’s offerings. Today’s call includes financial information which the company’s independent auditors have not completely reviewed. Although the company believes that the assumptions upon which the financial information and its forward-looking statements are based are reasonable, it can give no assurance that these assumptions will prove to be accurate. This presentation and today’s prepared remarks contain non-GAAP financial measures. The company believes adjusted pretax income, adjusted pretax income attributable to The Andersons, EBITDA and adjusted EBITDA provide additional information to investors and others about its operations, allowing an evaluation of underlying operating performance and better period-to-period comparability. Adjusted pretax income, EBITDA and adjusted EBITDA do not and should not be considered as alternatives to net income or income before income taxes as determined by generally accepted accounting principles. On the call with me today are Pat Bowe, President and Chief Executive Officer; and Brian Valentine, Senior Vice President and Chief Financial Officer. After our prepared remarks, Pat, Brian and I will be happy to take your questions. Now I’ll turn the floor over to Pat for his opening comments.
Pat Bowe: Thank you, John, and good morning, everyone. Thank you for joining our call this morning to review our third quarter 2019 results. I’ll start by providing some thoughts on each of our four business groups. After Brian presents a business review, I’ll conclude our prepared remarks with some comments about our outlook for the remainder of the year and give you a brief look into what we’re beginning to see for 2020. Our adjusted third quarter results were roughly $3 million lower than our adjusted third quarter 2018 results. But given the challenging ag markets and weather conditions that three of our business groups have faced, we’re encouraged by the outcome. I’m very proud of our team and what they have accomplished over the past year. Our ability to manage through those difficult conditions reinforced the strategy to acquire Lansing Trade Group as many of the business lines we acquired helped offset a lack of opportunity for our Eastern corn belt assets caused by late and reduced planting. The Ethanol Group continued to remain profitable during the third quarter despite a difficult margin environment when many in the industry incurred significant losses and reduced production or shut down entirely. Results for Plant Nutrient Group were somewhat improved, and the Rail Group’s lower results were primarily due to less car sales during the period. The Trade Group was profitable on an adjusted basis, improving significantly on the large loss it incurred in the third quarter of 2018. The poor planting weather in our core Eastern footprint and the resulting limited farmer engagement during the quarter hurt the performance of those assets, even as our Western assets performed very well. Market conditions in the spring caused an acceleration of income recognition into the second quarter, which contributed to the lower third quarter results. In fact, we’re very pleased with the performance of the group over the second and third quarters combined. The Lansing acquisition integration continues to go very well, and we’ve now identified and are implementing more than $10 million in expense synergies. The Ethanol Group achieved several notable successes during the quarter. Production began at the ELEMENT biorefinery in Kansas in August. In addition, we announced in early October that the group has merged four plants we previously ran in separate entities with different ownership structures with Marathon Petroleum Corporation. This action will provide many positive outcomes, including more effective use of cash and debt and increased financial transparency for the investing public. The Plant Nutrient Group performed better than it did in the third quarter last year in what is typically a quiet quarter. In general, the group recovered some volume from earlier in the year that was delayed by a protracted spring rains, but margins were lower due to product mix. The railcar market is weak with more cars and storage year-over-year and year-to-date railcar loadings down 3% and with further weakness in some specific markets such as grain, frac sand and ethanol. Renewal lease rates for railcars that carry these commodities continue to be lower. Other lease rates are generally flat despite the decrease in railcar loadings. Our utilization rate decreased during the quarter primarily due to the purchase of 1,000 idle cars that we are preparing for service. Brian will now walk you through a more detailed review of our financial results.
Brian Valentine: Thanks, Pat, and good morning, everyone. We’re now on Slide number 5. In the third quarter of 2019, the company reported a net loss attributable to The Andersons of $4.2 million or a loss of $0.13 per diluted share and an adjusted net loss of $2.3 million or $0.07 per diluted share on revenues of $2 billion. In the third quarter of 2019, we reported a net loss of $2.1 million or $0.07 per diluted share and adjusted income of $500,000 or $0.02 per diluted share on revenues of $686 million. It’s important to note that those 2018 results included pretax income of $5.1 million or $0.14 per diluted share from several Maumee Ventures investments. The company recorded an income tax benefit for the third quarter of 2019 at an effective tax rate of 55.1%, which was up slightly from the third quarter 2018 rate when the company recorded a tax benefit at an effective tax rate of 48.5%. Both rates were impacted by several discrete tax benefits. In the current quarter, the company recorded $3.6 million of federal research and development tax credits primarily associated with the construction of our ELEMENT biorefinery. Our long-term debt-to-equity ratio decreased slightly from the prior quarter end to 0.96:1, and we plan to continue to reduce that measure in the coming quarters. Our target ratio is 0.8:1. We expect a 25 basis point reduction in the borrowing spread on our main credit facility beginning in December as a result of decreasing leverage. This should result in a reduction of go-forward interest expense on the order of $2 million per year. On a related note, our short-term borrowings declined by almost $300 million during the quarter, which is consistent with the typical seasonality in our business. Total company adjusted EBITDA increased from $27.5 million in the third quarter of 2018 to $42.5 million in the third quarter of 2019. Next, we provide bridge graphs that compare 2018 adjusted pretax income to 2019 adjusted pretax income for the third quarter and first nine months of the year. Slide 6 shows that the Trade Group’s adjusted results improved by $10.5 million in the third quarter. The Lansing acquisition accounts for a portion of that improvement, and the rest can be explained by the fact that corn and soybean cash markets declined sharply in the third quarter of 2018. While the Ethanol Group remains profitable in the quarter, the results were significantly lower due to a challenging market environment. The group also incurred start-up costs at the ELEMENT plant. As mentioned earlier, the primary reason for the year-over-year change in net corporate and other expenses related to gains we recorded in 2018 on Maumee Ventures investments. Moving to our nine months results on Slide 7, Trade Group results were up by more than $24 million from 2018 primarily due to the Lansing acquisition. In addition, 2018 results included a second quarter impairment charge on Tennessee assets that were later sold. Ethanol’s profit was down by $16.6 million due to the challenging margin environment. The Plant Nutrient Group’s year-to-date results were lower due to the wet planting season and an expected decrease in the contract manufacturing of lawn fertilizer. Now we’ll move on to a review of each of our four business units beginning with the Trade Group on Slide 8. The Trade Group reported a third quarter pretax loss of $2 million but recorded adjusted pretax income of $600,000, a significant improvement over the pretax loss of $9.9 million in the same period of 2019. Performance of the group’s assets was mixed as strong results from Western assets were more than offset by weather and planting-related issues in the Eastern footprint. Merchandising results were strong considering the underlying market conditions. Trade Group adjusted EBITDA for the quarter was $20.9 million, an increase of $24.6 million over the Grain Group’s third quarter 2018 EBITDA. Moving to Slide 9, the Ethanol Group turned in a solid third quarter considering the continuing difficult market conditions. The group remained profitable, earning third quarter pretax income attributable to the company of $900,000. Margins continued to be stressed by elevated corn basis, particularly for the three Eastern plants. The group continued to concentrate on maximizing production efficiency at each plant and again benefited from increased third-party ethanol trading. Production began at the group’s ELEMENT biorefinery in Kansas during the quarter. Start-up expenses also contributed to the year-over-year change in pretax income. The group completed its merger with Marathon of the Albion, Clymers, Greenville and Denison plants at the beginning of October. This will allow our commercial teams to trade corn, ethanol and DDGs freely among the four facilities to achieve optimal profitability and our procurement team to leverage the resulting larger purchasing power. The simplified structure will also allow for more efficient use of cash and debt and will result in more transparent financial reporting. Turning to Slide 10, the Plant Nutrient Group recorded a pretax loss of $7.4 million in the third quarter, which was 7% better than third quarter 2018 results. Volumes were up for primary nutrients and at the farm centers. Margins per ton were lower due to product mix. As expected, lawn and contract manufacturing volumes were down year-over-year, but this was offset in part by improved margins. Plant Nutrient EBITDA for the quarter was $900,000, up from $100,000 in the third quarter of 2018. On Slide 11, we can see that the Rail Group generated $3.1 million of pretax income in the third quarter compared to $5.7 million last year. Leasing results reflect lower average lease rates, lower utilization and certain customer defaults in the sand and ethanol markets. Utilization averaged a still healthy 90.3% for the quarter compared to 94.6% last quarter and 92% in the third quarter of 2018. As Pat previously mentioned, we purchased 1,100 idle railcars, which lowered utilization by about 2%. Excluding the impact of these cars, utilization was flat year-over-year. Total cars controlled reached a record of approximately $25,000, and cars on lease increased by about 8% year-over-year. As expected, the group recorded very little income from car sales compared to the $1.9 million of pretax income earned in the third quarter of 2018. The group sold or scrapped fewer than 300 cars during the quarter, bringing its nine-month total to less than 800 cars. Repair business results were lower year-over-year primarily due to higher labor and benefit expenses. The group opened its 25th location during the quarter. Finally, the Rail Group recorded $16.1 million in EBITDA for the quarter, which was up slightly compared to last year. On Slide 12, we present a summary of the adjustments relating to the Lansing acquisition. The net acquisition-related costs we incurred in the third quarter were $2.6 million, bringing the total transaction-related expenses recorded through the first nine months of the year to $14.3 million or about $0.33 per diluted share. We still estimate that we will incur a total of $17 million of such expenses in 2019, followed by $4.3 million during 2020 and $1.5 million during 2021. The earnings per share impacts of these adjustments based on current shares outstanding are $0.39, $0.10 and $0.04 per share, respectively. And with that, I’d like to turn things back over to Pat for some comments on our outlook.
Pat Bowe: Thanks, Brian. We entered November with some continuing market uncertainties, including global trade and the results of a late harvest. On the positive side of the ledger, the integration and operation of our more diversified Trade Group continues to pay great dividends. In addition, recent improvements in ethanol margins that enabled us to hedge forward into the fourth and first quarters have provided some optimism for that business as well. We’ve managed through what was among the worst Eastern planting seasons in many years. Late and reduced planting in several of our core Eastern draw areas have resulted in smaller harvest. This will negatively impact the earnings of those Eastern grain assets well into 2020. The unresolved trade war with China is having a lingering detrimental effect on both Trade and Ethanol groups. Primary nutrient prices continue to be soft, but we think a likely increase in corn plantings in 2020 will help the Plant Nutrient Group improve. And for the Rail Group, while North American railcar loadings remain lower year-over-year, we expect utilization rates to stay above 90% and cars under lease to continue to increase. We’re more optimistic about our company outlook than what is reflected by the market in our recent stock price. We continue to work hard to improve what we can control. Our current initiatives include the following five. One, optimize the Trade Group performance. In its first year since the acquisition, we’re capturing synergies ahead of expectations, melding our cultures and maximizing the best of both organizations. We’ve aligned around a defined profit center-driven business model to provide line of sight focus on customers’ trading opportunities and cash flow. Two, identify and implement additional Trade Group expense synergies and other expense reductions around the company. We expect to increase Lansing run rate savings from $10 million to $15 million and to carve out another $5 million in total company operating expenses by the end of next year. Three, ramp up more products at our ELEMENT biorefinery and selectively add some of ELEMENT’s technologies at the other four ethanol plants. The Ethanol Group has a steady track record for delivering high-value ROI projects that improve plant efficiency and add higher-margin products to their portfolio. Four, generate positive free cash flow on an annual basis. In addition to producing better operating results, we’ve increased our focus on managing working capital. We also plan to hold maintenance capital spending well below our annual depreciation and amortization expense level. And five, reduce recently increased long-term debt following the Lansing acquisition. We have recently announced two asset sales, one completed and one pending, that will give us a start on that effort. We will continue to evaluate our asset portfolio to identify and reposition any underperforming assets. In December 2017, we announced a 2020 run rate EBITDA target of $300 million. We acknowledged then that we would need to engage in some growth projects and have market conditions improved to hit that target. Since that time, we have acquired Lansing and built and opened the ELEMENT biorefinery. Despite the market headwinds we’ve faced, we currently continue to be confident that we will achieve that target, which is nearly double our 2017 results. We believe we’re building an ever more solid company. In the last four years, we’ve improved management talent, reduced expenses by more than $30 million, disposed of the retail business and several other underperforming assets and have continued to upgrade an infrastructure that will provide the capacity to allow us to grow. The ag markets have proved to be very difficult over that time. I’m confident we are focused on the right levers and positioned well when those markets turn. We continue to operate with a strong commitment to our customers, employees, shareholders and communities that have served us well for more than 70 years. With that, I’d like to hand the call back to Andrew, and we’ll be happy to entertain your questions.
Operator: [Operator Instructions] Our first question comes from the line of Ken Zaslow with Bank of Montreal.
Ken Zaslow: Hey, good morning guys.
Pat Bowe: Good morning, ken.
Ken Zaslow: Just two questions. One is when you’re talking about the asset portfolio strategy, can you talk about the criteria that you’re looking to? What type of assets are still in the potential to be sold? Or how do you look at that? That’s my first question. And then I have another question. Patrick E
Pat Bowe: Sure, Ken. I think at the very start of this, three, four years ago, we had some assets that were not – positive cash are not attractive, and those were quite obvious. And we took action of those, either selling, in some case, closing, some facilities. We continue to look at that all the time. Most of those, the areas that have been – disappointed us have all been taken care of. So we don’t see that as a big shift in assets coming into next year. But for example, we announced the pending sale of our fertilizer business in Canada. That’s part of Thompsons. That still will be closing later, but that was an asset that was a solid business but probably better run by the local Canadian company, Sylvite, who’s acquired it than we were. And then we optimize that business from that action. So there may be – I’d say, it’d be smaller things, kind of like that.
Ken Zaslow: Okay. So the second question is can you talk about the ethanol industry in a couple of terms? One is how much capacity do you think is permanently taken out because of financing and liquidity issues? And where do you think we’re going to end up with the EPA on the 15 billion gallons?
Pat Bowe: Yes. Those are two really good questions. I think there’s been quite a bit of a reduction in production, either slowing or shutting, that happened, that got SND back in the balance in the last two quarters. We slowed production at our plants at times when it wouldn’t make sense as much as 20%, 25% during the period when we had high basis corn levels in some of our Eastern plants. We took all our shutdowns during the period, so all of our plants, other than the new ELEMENT plant, have had their fall shutdowns completed. And we installed new technologies as far as our processing at the plants that can help us perform more efficiently. We’re up and ready to run full, and those plants are in good shape. But the status of other plants in the industry, whether they’ll come back or not, I couldn’t venture to guess that. High basis levels will be around a little bit for a while, but the spot margins have improved quite a bit in ethanol here for the fourth quarter and actually even into the first quarter of next year. So there’s a little bit brighter outlook than there’s been for a while.
Ken Zaslow: And where do you think the EPA will end up? How do we kind of handicap that? Is it going to be somewhere between 14 billion and 15 billion? It will be on the higher end, like how do you think about that?
Pat Bowe: Yes. I think I would be more to the high side, and some of the small refinery exemptions as we get into 2020 may come at a more question. The biggest card to be played for next year will be China. Is there a trade deal? Does a trade deal include ethanol? And how much ethanol gallons could be exported? Because we’re at a pace of the 14 billion to 15 billion for this year. China has potential to buy up to 1 billion gallons, and maybe that’ll take time to move into it, but any movement of exports to China in 2020 will be a real strong shot in the arm for the industry
Ken Zaslow: Great. I really appreciate. Thank you.
Pat Bowe: Thanks, Ken.
Operator: Our next question comes from the line of Ben Bienvenu with Stephens.
Ben Bienvenu: Hi, thanks. Good morning.
Pat Bowe: Good morning, Ben.
Ben Bienvenu: I want to ask about Lansing and the impact it had on the quarter, particularly with respect to the goals and opportunities between Eastern and Western corn belt. What move did Lansing make to help navigate that more challenging environment? And then your updated commentary on the synergy capture moving from $10 million to $15 million, where do those incremental synergies come from?
Pat Bowe: Thank you, Ben. So it’s been an interesting period in agriculture here the last couple of quarters. I think the acquisition of Lansing that has really helped us the most is really the point-to-point trading and being very nimble in domestic markets on truck freight and positioning grain and having those long-term relationships with key end users, whether it’s being crushers for our millers into Mexico, et cetera. So it’s done a really nice job positioning the basis and putting our grain positions in the right shape. It’s been a tougher time for what would have been traditional and the elevators in the East because we don’t have the big carry-on wheat that we were storing wheat in the year’s past and the crop size has been lower. The planting problems that incurred in Indiana, Ohio, Michigan, kind of the backyard of our assets, has caused farmers to hold little firmer to the stocks they have, waiting to see how harvest is going to position. With that arbitrage of basis and regional differentiation that’s happened that Bill Krueger and his whole team in Overland Park have done a great job positioning the grain markets and putting us in a better position. The assets in the West have done very well. We have – harvest in Louisiana was fantastic. Those assets and crop conditions in West in the general are pretty solid. So the Trade Group is stronger definitely with the acquisition of Lansing.
Ben Bienvenu: Okay, great.
Pat Bowe: The second question – yes, yes, the second – maybe Brian to answer the second part of your question.
Brian Valentine: When we think about the synergy capture, I would say it’s just – it’s a combination of things that we continue to uncover is continue to uncover is the collective teams as we really try to bring together the best of both in the organizations, whether it’s people, processes, systems. And so there’s places where we have some just natural efficiencies on the people side. But then there’s a variety of other areas when we think about some of our trading and trade clearing and insurance and just a variety of other areas as we continue to combine the collective group.
Pat Bowe: May I build on that, this is Pat. On the synergies on the top line, one thing that showed up right away as Lansing had a long-standing group that traded ethanol and DDGs, and combining those teams with our Ethanol team has really paid good benefit. So it’s opened up more markets that maybe we hadn’t reached previously, and just interaction between those traders and maximizing the assets we have has paid good dividends.
Ben Bienvenu: Great. Pat, you talked about this higher basis, particularly in the Eastern corn belt, lasting or lingering into perhaps early next year. I’d be curious to hear your thoughts on this ramp. Although it’s been moderate sequential ramp that we’ve seen back in ethanol production, to what extent do you think continued elevated basis helps to keep some of that production ramp at bay? And then any comments that you could provide in elaborating on what hedging you might have done for your Ethanol Group into 4Q would be helpful.
Pat Bowe: Sure. That’s – it’s a good point. It’s really critical in the market right now. So it’s hard to know the outlook of certain plants that are closed or have some production idle and their timing of start-up with delayed harvest timing. We actually did a really nice job. I mean we ran our plants right into shutdown. We almost run them out of corn or have very little inventories during that time and got our shutdowns done, ran a little lower pace in the quarter and did some really effective hedging and selling around that. Coming into the fourth quarter, at the start of October, we had about 40% hedged for the quarter and about 10% hedged into the first quarter of 2020. And we’ve worked a little more on that since that time, as margins have had a nice little pop here for fourth and into first quarter, usually, at a time when the market is quite a bit weaker. So that’s a pretty good sign. And like you mentioned, how can we keep this SND in balance and what will production rates do, how much we’ll ramp up, the impact of stocks, that remains to be seen. But we feel our ethanol plants are in good shape right now. We’re pretty much excited about getting into next year. We’re starting out in a little better position.
Ben Bienvenu: All right. Congratulations on the solid execution. I know it was a challenging environment.
Pat Bowe: Appreciate that. Thank you.
Operator: Our next question comes from the line of Eric Larson with Buckingham Research.
Eric Larson: Yes, good morning everybody. Thanks for taking my question. I just want to dive in a little further, I think it was probably Ben that asked the question. But the – Pat, now that you’ve got 100% of Lansing’s earnings in that Western corn belt, that obviously complements what the legacy Anderson business is on the Eastern corn belt. If we were traditionally looking at how you were formed before now with the really difficult conditions and maybe probably quite a bit lower crop production for corn in the Eastern corn belt, we would probably have a different outlook on your total grain earnings for 2020 because you wouldn’t normally – you need another crop year, you need another harvest to really get the benefit of that Eastern corn belt. But with Lansing, maybe we need to readjust how we kind of think about the total mix and how that might look for 2020.
Pat Bowe: Eric. So pre-acquisition of Lansing, our traditional Eastern grain assets would be in tough shape because the basis levels are high. Farmer hasn’t sold that much. We did have an early book of stuff we bought from farmers quite a long time ago. But right now, they’re kind of holding tight there to see how their crops come in. There’s a very important WASDE report, I think, as you know, coming up Friday. We’ll kind of see what yields will do. Some in the West have been quite strong, in Nebraska, and Iowa have been really good. Yields around here are spotty. It kind of depends on when things were planted. We’ll likely have a little bit more moisture in corn and some drying income that will help some of our assets. But the key point you’re making is we’re a much broader, more diversified grain company with Lansing, and not only geographically but also the product mix and the customers and the focus on different byproducts. And they’ve been doing a great job positioning those businesses. And we feel good about that domestic flows and how we’re positioned. So it’s hard to compare. We don’t like to talk about legacy ANDE or legacy Lansing anymore. We’re one trade group going forward, and it’s really working well. We’re really pleased with the acquisition.
Eric Larson: Okay. Yes. And so when you kind of look at the – again, kind of the near-term environment, fourth quarter is going to provide some – there are so many moving parts here that it’s really kind of difficult to try to put it all together. You’ve obviously got a – you’ve got a stronger basis. So maybe you’re getting some basis income in the fourth quarter and probably doesn’t offset all the negative basis implications for ethanol. But how do we look at the transition from the fourth quarter and first quarter into the final nine months of 2020?
Pat Bowe: Right. I think you’ve positioned well and others have commented on this as well, and with the delayed harvest, it’s kind of a staggered period. So the farm has quite a bit – grain stored on farm. They kind of want to see how the yields and how production comes, but it’ll be grain that’s going to come to market, right? And we’re already seeing that in some parts of the country. As I mentioned earlier, Louisiana had a phenomenal crop and had a really good run of procurement in Louisiana. Different conditions up here in the East, but we’re still confident about our trading opportunities. And we think that we have a very weak export market right now, and we have kind of a different position than we’ve had in years past. But that’s just – maybe create some more volatility going into WASDE and going into what potentially people are calling this Phase 1 of a China deal that could be signed as early as this month. So I think that’s a big thing that the market is anxious to see what will a trade deal be and what will the final crop production be. That’s the two big items on the demand side and the production side right now.
Eric Larson: Okay. And just one final question, and I’ll pass it on. So obviously, farmers are trying to get their crops off the field right now, which is the priority number one, and we’re not really thinking about fall nutrient, let alone having probably either the weather or the soil conditions to do it. Does that – will you take more risk on inventory into the second quarter next year? Because obviously you’re going to have to have some makeup of volume to kind of compensate for not having fall nutrient. So how should we think about your nutrient numbers for next year, particularly second quarter?
Pat Bowe: Yes. It’s a really good question, Eric. So I think fourth quarter, as you mentioned, we have some pretty sloppy field conditions that might inhibit some application in the fourth quarter. If we had a really nice fall, beautiful weather, you probably get a little more put down here in the fourth quarter. Not so sure how that’s going to shake out. The weather is predicted to be colder and dry here for the rest of the month, so that’s a good thing for both harvest and some applications. I think going into next year, it’s really more of an outlook on corn planting. So we think we’ll see a nice increase in corn acres  And I can’t comment on how we’ll position our fertilizer inventory, but we’ve been keeping fertilizer inventories very hand-to-mouth for the last couple of years during falling or weak markets. It feels like fertilizer markets have been soft. It probably will stabilize going into maybe an enhanced planting outlook for next year. And so we’re kind of encouraged, not runaway bullish, but we could see a better position for fertilizer next year.
Eric Larson: Okay. Thanks. I’ll pass it on.
Operator: Thank you. And I’m showing no further questions at this time. I will now turn the call back over to Director of Investor Relations, John Kraus, for closing remarks.
John Kraus: Thanks, Andrew. We want to thank you all for joining us this morning. I also want to mention again that this presentation and slides with additional supporting information are available on the Investors page of our website at andersonsinc.com. Our next earnings conference call is scheduled for Thursday, February 13, 2020, at 11:00 AM Eastern Time when we will review our fourth quarter and full year 2019 results. We hope you can join us again at that time. Until then, be well.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating, and you may now disconnect.